Operator: Good morning, and welcome to the Iron Mountain First Quarter 2023 Earnings Conference Call. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Gillian Tiltman, Senior Vice President and Head of Investor Relations. Please go ahead.
Gillian Tiltman: Thank you, Sarah. Good morning, and welcome to our first quarter 2023 earnings conference call. On today's call, we will refer to materials available on our Investor Relations website. We are joined here today by Bill Meaney, President and Chief Executive Officer; and Barry Hytinen, our Executive Vice President and Chief Financial Officer.  After prepared remarks, we'll open up the lines for Q&A. Today's earnings materials contain forward-looking statements, including statements regarding our expectations. All forward-looking statements are subject to risks and uncertainties. Please refer to today's earnings materials, the safe harbor language on Slide 2 and in our annual report -- on our quarterly report on Form 10-Q for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements.  In addition, we use several non-GAAP measures when presenting our financial results. We have included the reconciliations to these measures in our supplemental financial information.  With that, I'll turn the call over to Bill.
William Meaney: Thank you, Gillian, and thank you all for taking the time to join us today. Our team delivered another quarter of record results for the first quarter of 2023, exceeding our expectations. This performance reflects the resonance of our expanded product portfolio, our unmatched customer relationships and the strength of our dedicated team.  On a reported basis, in the first quarter, we achieved our highest ever quarterly revenue of $1.31 billion, yielding 7.5% total organic revenue growth and EBITDA of $461 million. We continue to be encouraged by the increased demand for our services across key markets fueling these results as well as the success of Project Matterhorn, enabling our commercial teams to offer our customers access to the widest range of solutions in our company's history. We delivered organic storage rental revenue growth of 11% in the first quarter, and we drove high-teens organic growth in both our data center and digital services businesses.  As we introduced last year with Project Matterhorn, our steady build-out of new products and services as well as growth in these underlying markets continues to accelerate us on our growth trajectory path. I would like to take this opportunity to highlight how we have been serving our customers with our solutions-based approach and our offerings across the Mountain range. Beginning with records management, we won significant new business in the United Kingdom with a major global industrial and aerospace company signing a contract valued at GBP 40 million. Following more than a year of conversations, the team entered into a bespoke 10-year agreement, providing the customer with several hundred thousand cubic feet of secure physical data storage, document digitization and management across multiple secure locations, radio frequency identification tagging for additional security and a dedicated on-site team of experts working to Iron Mountain's industry-leading standards.  I am pleased we could offer such a comprehensive solution that allows the customer to both digitize their data and protect their business. We are now discussing additional opportunities with the same customer in other European countries, North America and Asia. In total, the potential contract value over 10 years is approximated to be GBP 90 million.  Another win that highlights our ability to sell the entire Mountain range involves a state historical society, which turned to both Iron Mountain and our Fine Art Storage Business Crozier for help in preserving the history of its cultural heritage center, which is home to its underground archives in museum. With budget as a key consideration for this customer, our unique solution was focused on reducing costs, whilst leveraging our expertise and innovation to challenge the customer to think differently.  Our combined art, library, archives and logistics expertise enabled our team to deliver a solution that met the state's needs. Also in the quarter, a financial services company based in Australia, a long-standing customer of Iron Mountain turned to us for help with their compliance issues after being impressed by the information we presented at a Policy Center webinar back in 2021.  Our suite of digital enablement solutions and software, including the InSight platform will provide the customer with increased visibility into its archives, digital copy as selected records, auto generation of metadata and auto reduction of personal identifiable information. Success stories such as this highlight the value we provide customers and not only moving data from physical to digital storage, but also improving the methods and capability to utilize the data.  Another digital win was with the U.S. Department of Veterans Affairs. The U.S. Congress has requested that the VA advanced the production of complete and accurate veteran records in a timely fashion, driving the need for digitization of historical veteran documents, which are often dispersed across multiple storage locations. The customer required an experienced digital partner to increase their scanning capacity and also provide facility oversight, chain of custody logistics and secure storage. The unique aspects provided by our high security Boyers, Pennsylvania facility, combined with the skill of our staff were key contributing factors to winning the deal. This is just the beginning of our work to aid in the delivery of medical records to enhance patient care of veterans.  Also in Digital Solutions, we had a key win with an existing customer His Majesty's Courts and tribunal service on a digital mailroom solution to automate the indexing and classification elements of the mail room function. The service, which will reduce the cost and time of processing court applications will be delivered from our location where we have a well-established digitization and BPO facility.  Turning to asset lifecycle management, or ALM, we divide this business into 3 verticals. The first of these is the hyperscale decommissioning business that we acquired from ITRenew. Our volumes grew in excess of 30% in this vertical year-over-year, reflecting our market-leading platform, the strength of our existing customer relationships and our ability to win more new logos. Revenue is down, however, reflecting the record-low pricing the market has seen since the end of 2022 on both new and used components.  In our enterprise ITAD vertical, we've been gratified to see more synergies with our existing customers. Since we have relationships with over 225,000 customers across our wider business, the opportunity to cross-sell our enterprise ITAD services has never been greater.  The last of these verticals is the technology manufacturers. Here, we are winning business, both in terms of servers as well as end-user devices. We have invested in our sales force and obtained specific expertise in the OEM space setting us up for success. This indirect relationship to decommission end-user product is a huge market opportunity. Examples of recent wins in the ALM business include a contract with an existing global asset management company to perform on-site hard disk and solid state disk ratio and destruction whilst maximizing value from data center and corporate end-user assets.  Continuing with ALM, a large global risk management company sought services to decommission to complete in 2 partial data centers. A combination of our strong existing relationship and performance, including guidance from a dedicated program manager, our remarketing solutions and capabilities and the ease of the use of our ALM portal contributed to the win.  Finally, let's turn to our Data Center business. We are pleased to have finished the first quarter of 2023 with 52 megawatts of new leases signed with a single hyperscale customer signing 2 deals for a total of 44 megawatts. You will recall that our guidance for the year is 80-plus megawatts. So to have least over half of our target in the first quarter alone is a triumph of our team.  In terms of the co-location wins this past quarter, one win I would like to highlight is with an existing U.S. federal home loan customer who sought to expand into a new data center market for disaster recovery options and selected our VA2 data center in Manassas, Virginia. The customer was impressed with the tour of our Virginia campus and the custom solution we developed to meet their needs. With their positive past experience with our data center services, we've bundled this expanded solution with a renewal at another of our data center sites.  Also in the quarter, our team announced the win with a fleet management company, which for years has explored moving their internal on-site data center infrastructure to co-location. Our ability to provide a custom solution in our VA2 data center, including direct internet access, smart hands and cross connects resulted in a powerful solution for them and the continuation of an important relationship that has the potential to expand to a disaster recovery solution at our New Jersey data center.  Also noteworthy is a substantial win with an existing major semiconductor chip manufacturer who's taking advantage of all the Mountain range has to offer. The customer was seeking a data center partner to host their internal development cloud environment, and our data center and commercial sales teams work closely to deliver a solution at our Arizona site, leveraging the customer's existing relationship.  All 3 of these wins that I have noted are with long-standing customers, demonstrating our ability to source premium co-location deals with customers with whom we have had trusted relationships for decades. To conclude, we are more enthusiastic than ever about the growth in our business and our ability to offer our customers expanded and innovative solutions to meet their ever-evolving needs. Project Matterhorn is bearing fruit, and we continue to make great strides as our team climbs towards the highest peaks of our journey.  With that, I'll turn the call over to Barry.
Barry Hytinen: Thanks, Bill, and thank you all for joining us to discuss our results. In the first quarter, our team continued to deliver strong performance, exceeding the expectations we provided on our last call. We achieved an all-time record quarterly revenue of $1.31 billion, representing 5% growth on a reported basis. Organically, revenue grew 7.5%. Revenue was ahead of the expectations we shared on our last call as Global RIM and our data center businesses both outperformed. A key highlight in the quarter is our organic storage revenue growth of 11%. This marks an acceleration both sequentially and year-on-year. This reflects strong contributions from revenue management, data center commencements and positive volume trends. Total service revenue increased 2% to $504 million or 4% on a constant currency basis. Consistent with the commentary we shared on our last call, the year-on-year impact from the start of the more intense lockdowns in China impacted our ITRenew business.  Excluding ITRenew, service revenue was up 11% on an organic constant currency basis. Adjusted EBITDA was $461 million, a new first quarter record. This represents growth of 7% year-on-year and 9% on a constant currency basis driven by revenue management and strong contributions from data center. Adjusted EBITDA margin was 35.1%, an improvement of 60 basis points year-on-year with revenue management and mix being the key drivers.  AFFO was $284 million or $0.97 on a per share basis, up $20 million and $0.06, respectively from the first quarter of last year. This was well ahead of the expectations we shared on our last call, partially the result of the timing of some maintenance CapEx items between the first and second quarters.  Now turning to segment performance. In the first quarter, our Global RIM business delivered revenue of $1.13 billion, an increase of $78 million from last year. On an organic basis, revenue increased 11%. Organic storage rental revenue growth of 9.4% reflects our focus on revenue management and solid volume trends. We reported organic service revenue growth of 13.6%, with that performance driven by digital solutions and core offerings.  Global RIM adjusted EBITDA was $478 million, an increase of $29 million year-on-year. Turning to our global data center business. We achieved revenue of $112 million, an increase of $15 million year-on-year. From a total revenue perspective, we delivered 17% growth on an organic basis. Organic storage revenue growth was particularly strong at 24%, driven by commencements and improved pricing. As we projected, data center services were down year-on-year given the fit-out work we were performing in the first half of last year. Data center adjusted EBITDA was $51 million, representing 21% growth.  Turning to new and expansion leasing. We had a very strong quarter with the team signing 52 megawatts. We expanded our relationship with a long-standing customer with a 40-megawatt contract. Later in the quarter, we extended this relationship further with another 4 megawatts. Both of these have an initial term of 7 years with multiple renewal options. We signed new deals across our portfolio with key wins in Scottsdale, Phoenix, Frankfurt and London. In total, we signed 22 new logos within our data center business with strong cross-selling activity.  Turning to asset lifecycle management. In the first quarter, ALM volume was ahead of our expectations, while component pricing was down significantly year-on-year. Importantly, we are now seeing pricing for components stabilizing. Given the current environment that Bill described, we are planning for ALM revenue to be consistent in the second quarter with the first quarter. And with the pipeline activity we are seeing, we are well positioned for improving trends in the back half of the year, driven by volume and new bookings.  In particular, our OEM business is developing well with the team growing our pipeline and delivering key new wins. For example, we recently signed a deal with one of the largest technology end-user device manufacturers to partner with them in the decommissioning needs of their customers.  Turning to capital. In the first quarter, we invested $302 million, of which $274 million was growth and $28 million was recurring. Turning to the balance sheet. With strong EBITDA performance, we ended the quarter with net lease adjusted leverage of 5.1x, reflecting a significant improvement from last year, this marks our lowest leverage level since 2017. We expect to operate within our target leverage range, which is 4.5 to 5.5x.  Our Board of Directors declared our quarterly dividend of $0.62 per share to be paid in early July. On a trailing 4-quarter basis, our payout ratio is now 64%, settling into our long-term target range of low to mid-60s percent. Now turning to our outlook.  With strong performance in the quarter, we are well on track for the year, and we are pleased to reiterate our full year guidance. For the second quarter, we expect revenue of approximately $1.35 billion, adjusted EBITDA of approximately $475 million, AFFO of approximately $270 million and AFFO per share of approximately $0.92. In summary, our team is executing well on our Matterhorn growth initiatives. We are investing in our business. We remain focused on driving increased levels of cross-selling and exceeding the expectations of our customers.  I would like to take this opportunity to thank our entire team for their continued dedication and commitment to Iron Mountain and our customers.  With that, operator, would you please open the line for Q&A.
Operator: [Operator Instructions]. Our first question comes from George Tong with Goldman Sachs.
George Tong: Organic revenue growth for the services businesses decelerated to 2% in the quarter. Can you elaborate on the factors behind the deceleration in services organic revenue growth? And discuss initiatives or factors that could drive a re-acceleration in growth in the coming quarters?
William Meaney: George, thanks for the question. So yes, I think overall, if you think about it in the traditional areas, our service revenue growth was quite strong. If you look at just in the RIM business is our Global Organic RIM services grew at 14%, again on an organic and constant currency basis. So very, very strong growth. If you look it on the ALM side, which is where you see the downdraft is, as I've said in my comments, is volume in this quarter was up some 30% year-over-year. So we're actually seeing the synergies -- the commercial synergies that we have as a company and as Barry mentioned, we just signed a new OEM customer as well.  So we see really good traction on the volume side. But on the pricing side, if you probably have seen in the electronics industry, some of the components are down 70%. So whilst we still have positive gross margins on that business, is the revenue is heavily impacted by what we've been seeing across the semiconductor industry in terms of record-low pricing.  So I think that it's really a two world. So as I say, from a -- even ALM business on a volume basis has shown traction, but it is a downdraft in terms of the overall service revenue. But the traditional areas, I would say, in terms of RIM, also, if we look at our digital services, we're also up year-over-year in the high teens, really good progression.
Barry Hytinen: Yes, George, it's Barry. Thanks again for the question. The only thing I would -- only a couple of things I would add is I think the team, to Bill's point on our Global RIM is doing phenomenally well. And I think that's the way I would point you to look at the services because, of course, the ALM business is masking our total growth there in terms of what's happening with respect to the core. And at that 14% growth rate that Bill spoke about, that is up against some really big comps. So it's -- I mean, it's a very strong performance, and it is driven by the point that he made, the digital solutions as well as other core offerings, which are all growing for us.  The other thing I'd kind of call out is it's a small factor, but as you know, we were doing fit-out services in data center in the first half of last year. We completed that in the second quarter. And so that makes the year-on-year comp hard just as we explained it would be. So that is another factor that's weighing on that services total growth rate that you were pointing to. I think as you move through and get into the -- see us getting into the back half, you'll see that growth rate accelerating meaningfully as we get beyond the challenges with respect to ALM and the pipeline that Bill was speaking about really comes to fruition and then we also get beyond that data center services comp in the first two quarters. Thanks for the question.
Operator: Our next question comes from Kevin McVeigh with Credit Suisse.
Kevin McVeigh: Congratulations on the momentum. Barry, it looks like typically, and I'm just going off the last 2 years, so maybe it's not fair, you can help me with this. But the sequential EBITDA lift in the last 2 years have been $24 million to $25 million, it looks like the Q2 is going to be about $14 million. So when we think about puts and takes in the back half of the year, is that more project benefit from Matterhorn that allows you to reaffirm the EBITDA guidance? Is it better pricing? Maybe just help us understand the seasonality a little bit if I'm thinking about that right.
Barry Hytinen: Yes. Thanks, Kevin. Appreciate the question. We feel very good about where we're trending. In fact, the first quarter came in right in line, if not a little bit better than what we were expecting in our guidance for the second quarter is similarly and that is despite the fact that we've adjusted our expectations for ALM down some in the second quarter. And the reason we're able to achieve the numbers that we're putting up in the second -- that we're projecting for the second quarter and our confidence in the back half is because of a couple of things you just pointed out.  We are seeing even better revenue management projections in the business. We have, as you've seen in our Global RIM business, we have very strong storage rental growth on an organic basis, almost 9.5%, which marked an acceleration sequentially and year-on-year. Our total organic storage rental growth was over 11%, which was also very strong.  And I will tell you that in light of the fact that we are going to see more revenue management activities we've recently passed some here even in the second quarter, and we'll be passing more as we move through the year, together with the fact that data center pricing continues to improve, and that's an industry phenomenon. You will see, together with that, our commencements are very strong in the back half. So data center will be accelerating as we get into the back half. And as you know, there's very strong visibility on that business. So it's a high confidence point that I'm making there.  So we feel very good about where we are. In terms of -- you mentioned the specifics around second versus the -- quarter versus second half. I'll just note that in light of the timing of the U.S. dollar strength, we still have an FX headwind in the second quarter. In the first quarter, that was almost $30 million of topline. But as we said on the last call, and I'll reiterate, that becomes much more muted, in fact, may even be a slight tailwind in the back half.  We also get through a few items that are in the first half from an EBITDA standpoint. As you know, we did some sale leasebacks last year and we comp over those as we move into the back half and with our productivity initiatives and additional commercial investments we've made, we get to a more favorable comp in the back half from those as well.  So I'll tell you, Kevin, we feel very well positioned about accelerating business even with more muted expectations around ALM.
Operator: Our next question comes from Jon Atkin with RBC Capital Markets.
Jonathan Atkin: Towards the beginning, you pointed out a number of wins with government agencies and large enterprises and so forth. And I was curious to maybe get a little bit more color on what's kind of the tone of discussion around sales cycle compared to what you're accustomed to? And then the competitive set that you faced with those deals to the extent that you faced with these bake-offs or just kind of the decision to go with you is really more of a bilateral discussion, but maybe a little bit about the competitive dynamics and sales cycle would be helpful for both government and enterprise?
William Meaney: Okay. Well, thanks, Jon, for the question. So the -- and I was actually involved in a couple of these, so I could probably give you more color on them. The sales cycles, for instance, the aerospace company that we talked about was like over a year, but this is a company that we've been doing bits of work for decades, right? So it's a natural conversation that they start talking about, well, they want to actually do something different. And this speaks of case, they actually had an in-house vendor for part of it but that company wasn't able to do the full range of services. As I said, they were looking for someone to really takeover of full outsourcing and they're very sensitive, right? Because if one of these things goes missing, aircraft around the world get grounded. So they were very, very sensitive about the security and the reliability of their vendor.  And then the other side of it, obviously, they've known us for decades in different areas that are very sensitive to them. And we were able to bring a full range of services that we're able to do, not just the storage, not just the digitization, but also to give them the tools that they could visualize what was both stored physically and what was digitized and they could do that in a consolidated basis. In other words, they could do that and see that anywhere in the world.  So that was a huge win for them. Now you can say the sales cycle was like over a year. I think I've been visiting with the sales team at customer for over a year but it's been part of an ongoing conversation, and that's the power of having the 225,000 customers that we've had decades and decades of relationship.  The government one, which I mentioned, which -- 2 of them, one was in the U.K. and one was in the -- with the United States government. For the folks that have been following the company for quite some time, we've been talking about the government sector as being our huge potential for Iron Mountain. And it was slow-going at the beginning because government contracts, as I'm sure you're aware, have very long lead times. But both of those have been customers that we've actually been working for the last 2 or 3 years with -- so again, we were -- there was a big investment, I would say, starting 5, 6 years ago with both the VA and with the British government in certain segments. But that's again now starting to become more of a normal course.  So one level is the conversation started 5 years ago, but now it's just a regular course of business that some of these things are as short as 3 or 4 months' lead time where they come up with a statement of work and because we already have a track record, and we're able to do that.
Operator: Next question comes from Shlomo Rosenbaum with Stifel.
Shlomo Rosenbaum: Barry, you alluded a few times on the call to good revenue management and improving revenue management. Can you talk a little bit about what the pricing lift in the quarter was and what investors should expect for 2023? And you guys had very good revenue management last year. Is the revenue management straight out being able to raise prices now? Or is there some kind of favorable mix going on? Maybe you could just give a little more color there.
Barry Hytinen: Okay. So thanks for that question. I think our team is doing a phenomenal job with revenue management. It's been a real standout. When you look at Global RIM in terms of its storage rental organic growth that was almost 9.5%. And as you know, we saw good solid volume trends. It was up about $2.5 million on a cube on a trailing 12-month basis.  So as you can gather from that, the vast majority of the growth was driven by revenue management. And importantly, we feel very well positioned in terms of the whole year. And I'll tell you that in terms of the total storage rental growth rate that we put up 11%, which is, of course, benefited by data center commencements with what we see on data center commencements through the remainder of the year.  Together with the revenue management activities we've already put in place and additional that we have going into market over the next few months, I feel very confident that we are going to continue to see total company organic storage rental growth of this order, I think, 9%, 10%, 11%.  And that the environment for revenue management continues to be strong. We will have relatively more revenue management this year, Shlomo, than we did last year. And that is a factor of both what we're wrapping from last year as well as the activities we've had in this year.  Importantly, we continue to see excellent customer retention, and I think that just demonstrates that we are bringing forward very significant value for our clients in these areas. In terms of mix, I would say we continue, as we talked about before, to expand the revenue management program beyond just storage. So you are seeing improving revenue management trends in our services, and that's generally across all line service in our core offerings and so we feel like it's on the right trajectory, Shlomo.
Operator: Our next question comes from Nate Crossett with BNP Paribas.
Unidentified Analyst: This is . Maybe you can just remind us on the funding plan for development this year? What does the pricing look like for any debt needed? Would you do asset or company level financing? And then I also wanted your updated thoughts on the dividend here with the payout, the lowest it's been in a while.
William Meaney: I appreciate the question. Let me take your last question on the dividend, and then I'll let Barry comment on the funding plan. And as you know, our plan from -- when we talked about Investor Day, it's a fully funded plan, but I'll let Barry comment on that more.  On the dividend, you're right to point out is we are now in that zone when we said kind of low to mid 60% payout ratio, which becomes a natural forcing function for increasing our dividend. So that's something that we're now starting to settle into that range. So you can expect that it will just become a natural course of events as we get to that payout range, which on the REIT guidance rules just force as a natural increase in the dividend. So I think we're now in that area. So I think when we start getting into the back half of the year, and we start drifting down to the low 60s, then I think you can expect just a natural progression in the dividend.
Barry Hytinen: Thanks for the question. When you work through our guidance, as Bill mentioned, as we discussed at the Investor Day, we have a fully funded plan for this year and going forward. And as you know, we will be a routine debt issuer, and while the market has clearly been moved up in terms of rate over the last couple of years with the Fed moves, I would say it's become much more -- it's an improved market as compared to where it was over the last couple of quarters, and we see generally a favorable outlook from a standpoint of issuance. And I think from a standpoint of where we could issue today, that's improved some versus the last couple of quarters.  And to your point, there's a lot of interest in asset-level financing, whether it be for construction or otherwise. And so we're looking at all those options and making sure that we have the best plan for our shareholders. But it's not something that we have to do, as you see, we have plenty of liquidity, but you should expect us to be an issuer on a routine basis. I want to just kind of continue to see what's out there from a market perspective. Clearly, rates are a little bit higher than where they were a couple of years ago, but we still see them being very attractive and partly because pricing in data center has continued to lift and we see continued improvements.  In fact, year-on-year, net new retail-type data center deals we're seeing up like 20%, pretty much consistently across our entire portfolio, and that's trending more toward, I think, by the end of the year, early next year going to be about like 30%. And so that is a pretty significant move.  And then importantly, on hyperscale side, I think the whole industry is generally seeing cash-on-cash unlevered returns moving up, I think something like where a lot of folks were writing in the high 7s or mid-7s, I'm seeing a lot of stuff that's in the 8s, if not even higher. And so I think that's a good trajectory for the industry. It's healthy and it supports the point that I was making earlier. So we feel really good.
Operator: Our next question comes from Andrew Steinerman with JPMorgan.
Alex Hess: This is Alex Hess on for Andrew Steinerman. I wanted to ask briefly about the ITRenew callout. You highlighted that services revenue growth would have been 11% organic, excluding ITRenew, which implies a pretty sharp deterioration quarter-on-quarter and year-on-year in that business, if my math is right. Could you maybe break that out into what degree that was driven by pricing versus ability to sell through into end markets? And any other dynamics that sort of give you confidence that, that will eventually recover?
William Meaney: Thanks Hess for the question. I'll start, and then I'll ask Barry to comment and really kind of talk about how we see that trending as we go forward into the year. So as I said in my comments, actually, if we just looked at volume holding pricing constant, is, quite frankly, Q1 would have been a great year for the ITRenew asset that we acquired because the ITRenew, as you know, was really focused at hyperscale. And if we look at that segment alone, I mean, we made very good progress in terms of expanding across our customer portfolio on the enterprise.  But if we just look at hyperscale, which is the ITRenew asset is volume was up 30-plus percent year-over-year. So the volume growth was really good. However -- and I'm sure you're probably seeing this in some of the other companies that you follow, anything that touches the electronics industry when you start seeing what's happened to the chip manufacturers, the memory manufacturers, et cetera, is the pricing has gone down substantially in that area. So we're talking about for a number of components down over 70%.  So you're right to point out, if we look at sequentially Q4 to Q1 is we have seen a drop of revenue on the ITRenew portion of the business or the hyperscale portion of the business even absent -- even -- in spite of the fact that volumes are up 30% year-over-year. So now the good news is that we do see stabilization on those prices, and we see a number of the memory manufacturers and the chip manufacturers, CPU manufacturers, we see them taking capacity out of the market, which gives us further confidence that we've seen kind of a stabilization of prices, which we've seen, I would say, starting towards the end of February going into March.  So we don't see right now that the prices are going to go down further. So that's the good news. But we don't expect that the -- I would say, the chip/memory CPU market is really going to start firming up until we get into the early parts of next year. But Barry?
Barry Hytinen: Alex, I appreciate the question. I'll give you a little bit more of the detail, which you could find in our filings. So in the fourth quarter of last year, our total ALM business was about $56 million. And in the first quarter, it was $41 million. And so -- and that compares against $70 million last year. Now as I talked about previously, the second quarter of last year was in light of the timing of lockdowns and the pricing trends by the end of the year, second quarter was the peak for our ALM business at $83 million of revenue. We've assumed in our guidance for the second quarter that revenue is consistent with the first quarter this year. So that is a drag on, of course, the services growth rate in the first quarter, and it will be again in the second quarter.  At the -- if you wanted to sort of sensitize our guidance, I would tell you at the low end of our range, which I did not anticipate this is what's going to happen, but just at the low end, we would assume that it just is flat at this level of revenue for the whole year. I really don't see that happening in light of the very strong pipeline opportunities we have in the trends we're seeing in the business. But that's conservative posture for the low end.  What we think is probably going to happen is we will be slight to -- slightly up sequentially. We're running a little bit ahead here already in the second quarter of the projection I'm giving you. And then in the second half, the way we're planning is for the third quarter to be essentially flat year-on-year. So that implies a little bit of a lift and another lift in the fourth quarter. But I will tell you that we have pretty strong confidence in our ability to do that. And I called out 1 deal on -- in the prepared remarks around OEM, and maybe I'll give you a little bit more color. This is a situation where we're dealing with one of the largest manufacturers of devices in the world.  There are several of those, as you know, and we're approaching all of them because what we're finding with large multinationals is very similar to our core enterprise clients. These companies are looking for a partner who can work with them everywhere they do business all around the world. They're currently using a lot of point players in very specific markets on a local basis, and they'd like to have more uniform standards and consistency, and we can provide them with the sorts of services they're looking for things like data [indiscernible], recycling, remarketing. Ultimately, we'll be working with them on things like asset tracking and storage, IT asset management, things of that nature.  So it's -- another example of how our team is continuing to diversify and grow our ALM business and it bolsters our confidence. And just to reiterate, this is a huge market ALM. We really like the space. It's very fragmented, and we think we're in a very good position to take a tremendous amount of share over time. We're working through what everyone in the industry is working through right now, which is pretty low component pricing. We feel good about the opportunity.
Operator: [Operator Instructions]. Our next question comes from Eric Luebchow with Wells Fargo.
Eric Luebchow: So I wanted to touch on the data center demand. So you're more than 60% towards your leasing goal for the full year, so a really strong start to the year. And if you look -- it looks like your in-place and development portfolios are pretty highly leased up. So maybe you could talk about your ability to accommodate additional demand, whether through future development of your land holdings, additional expansions? And then if leasing continues to trend at a high level, could you accelerate some of your data center CapEx this year beyond what you initially guided to?
William Meaney: Thanks, Eric. And I'll ask Barry to talk about how we think about being flexible or responsive on the CapEx side. But I think generally, yes, we've had a really good start, as you point out the year. We reiterated the 80 megawatts plus for the full year, even though that we've achieved more than half of that in the first quarter because I think as you can appreciate, especially with hyperscale, there's a little bit -- the timing is never fully under your control.  So I would say that we -- some of that -- the new leases that we signed in Q1 were things that we expected in Q2. So I kind of think of it as 2 halves of the year rather than quarter by quarter, just especially when you're talking about hyperscale clients and we had 1 hyperscale client in Q1 that signed up in 2 different contracts for 44 megawatts. In terms of having enough capacity for further expansion, you see we're holding like up to 747 megawatts of land, which is a big uptick from where we were a year ago, but we are making really good progress. So we're constantly -- we're not standing still in that regard.  I mean just in the last couple of months, I visited both our Northern Virginia campus with a potential customer and now done 2 trips with our Indian team since the beginning of the year. So both of those markets continue to develop. And we're not standing still in making sure that we have more land and more capacity to meet our growth. But if you think about just year-on-year, the uptick that we have in terms of the land bank that we have and sitting on 747 megawatts is that we feel good for the next number of quarters that we can accommodate the demand. But Barry, you might want to talk about how we think about the flexibility around CapEx.
Barry Hytinen: Thanks, Eric. It's good to talk to you this morning. I appreciate those kind words. We -- obviously, the team is doing really well and continuing strength and strength in terms of new signings and also margin performance in our data center business. So hats off to our team there. In terms of data center capital, as you know, this year, we had penciled to deploy about $850 million of growth CapEx and with the vast majority of that going to data center. Year-on-year, we put a considerable incremental amount of CapEx into data center in the first quarter. I think we do have the benefit of so much being pre-leased and the team continue to sell that, yes, it is conceivable to me that we will be, over time, ramping our CapEx for data center and it's sort of a bit of a high-class problem, so to speak, as the team continues to sell through our pipeline plans.  So we have ample capacity to do so in terms of deploying additional capital. We were always planning to spend from a timing standpoint, more CapEx, relatively speaking, in the first half this year than we did last year. As you recall, last year, it was a little bit more shaped towards the back half in terms of data center deployment where deploying a considerable amount here in the first half, we'll continue that trend in the second quarter. And after we get through midyear and see how the additional pipeline looks, which is quite strong, I'll note, at this time.  As we see how that is at midyear, we may talk to you about a little bit more, but that would be a very positive development in terms of continuing to see really high levels of organic growth rates driven by commencements. As you know, we're very pre-leased in terms of our underdevelopment. I think we're now pressing over 90% in terms of pre-leased in terms of what's under construction. So it's a good place to be.  The only other thing I guess I'll call out is that churn has been relatively low, and we continue to expect it to be relatively low for the full year. So thank you, Eric, for your questions.
Operator: Next question comes from Brendan Lynch with Barclays.
Brendan Lynch: I wanted to discuss a little bit about Project Matterhorn. I understand it's still very early days, but you called out some large multiple vertical wins. I'm wondering how you expect that type of contract to trend in your revenue mix over the long term as Project Matterhorn gains more momentum. Do you expect to see a lot more of these large multi-vertical wins relative to kind of the legacy revenue mix, which might have been more of a fragmented customer base?
William Meaney: No. Thanks, Brendan. It really is -- first and foremost, Project Matterhorn has being customer-centric. So what we try to do is make sure we bring full range of Mountain range of services that we have to, to our customers. And if you probably got picked up on a sense is there is a big service component in some of these wins, especially around the digital side. But it's also a big co-location and physical storage. So it's almost -- if you think about even the aerospace company that I've referenced a couple of times in the Q&A and also in my remarks, is there is everything from physical storage to digitization to visualization of their assets. So there is a -- it's a full breadth of the different types of storage solutions we have.  But I think you can expect like and even if you look at our physical -- our organic storage rental revenue growth of 11%, a part of that is, as we said, 9.5% of that growth rate came from our traditionalized physical storage business a bit, but a big part of that came from our data center growth as well. So we see kind of a -- we still see storage. It's one of the most profitable part of our business. We still see that whether it's data center storage or physical document storage and other types of physical storage driving a big part of the growth of the business. But when we actually go talk to a customer, and it's really about helping the customers solve their problem, then it's usually a hybrid set of solutions, which quite frankly, differentiates us when -- even on a data center deal or a physical storage deal.  They really see Iron Mountain as someone that can be a one-stop shopper relatively few stops to actually solve the problem that they're trying to solve rather than what we're trying to sell.
Barry Hytinen: Brendan, I'll just add, as we talked about before, one of our key initiatives within Matterhorn is cross-selling. And if you go back to what I mentioned in the prepared remarks and our data center team signed 22 new logos within data center in the quarter and when we segment that on a megawatt basis, 75% of that was cross-sell from our existing client base, those 225,000 clients. So I think that's a good indicator of what we are trying to drive with our Matterhorn initiatives around cross-selling.
Operator: Our next question is a follow-up from Shlomo Rosenbaum with Stifel.
Shlomo Rosenbaum: Bill, I thought you had missed it if I don't ask you about the underlying volumes in RIM. So I'm going to ask you now if you can provide a little bit of more color on the breakout like RIM adjacent businesses, consumer and other, just how are the underlying factors playing out and maybe talk a little bit about developed markets versus emerging markets as well?
William Meaney: Thanks, I appreciate you coming back on. So no, so it's pretty much the same trend that we've seen. So if you think about on the record business on that side is in places like North America that are mature, I would say, it's flat to slightly down in terms of volume. Eastern Europe and some of the emerging markets, it's continued positive volume trend. And as you and I've talked about, it's really about the maturing of the markets. But at the same time, every single customer around the world is continuing to send us new, what I would call, document storage as we come into our facilities. But the growth areas, our combination is, as we've discussed before, is whether it's kind of in Eastern Europe, Latin America, Asia Pacific as well as some of the new storage areas that we're doing for our customers. So expanding what their needs are around physical storage.  So the business, as you noticed, is that -- continue to build positive volume. We continue to have very high utilization across our industrial real estate footprint. So really hats off to the team as they're continuing to provide what is a key platform or a key need for our customers around the whole physical storage pain point that our customers have across the industry. Even the aerospace company that I keep referring to is a big part of that, was providing secure physical storage, which before we weren't doing for them, but because we bundled it with a solution of really end-to-end solution around their information management and digitization of some of those assets, and we can do that seamlessly by storing those documents in our facilities for them. Even in a mature market like the United Kingdom had unlocked new storage opportunities.  So it's really part of now a broader conversation of the Mountain range that we have with our customers. And you can see the numbers, it continues to kind of move forward. So thanks for the question.
Operator: This concludes our question-and-answer session in the Iron Mountain First Quarter 2023 Earnings Conference Call. Thank you for attending today's presentation. You may now disconnect.